Operator: Greetings, and welcome to the Boston Beer Company Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded It is now my pleasure to introduce you Mike Andrews, Associate General Counsel and Corporate Secretary. Thank you, Mike. You may begin.
Mike Andrews: Thank you. Good afternoon and welcome. This is Mike Andrews, Associate General Counsel and Corporate Secretary of the Boston Beer Company. I'm pleased to kick off our 2024 third quarter earnings call. Joining the call from Boston Beer are Jim Koch, Founder and Chairman; Michael Spillane, our CEO; and Diego Reynoso, our CFO. Before we discuss our business, I'll start with our disclaimer. As we state in our earnings release, some of the information we discuss and that may come up on this call reflect the Company's or management's expectations or predictions of the future. Such predictions are forward-looking statements. It's important to note that the Company's actual results could differ materially from those projected in these forward-looking statements. Additional information concerning facts that could cause actual results to differ materially from those in the forward-looking statements is contained in the Company's most recent 10-Q and 10-K. The Company does not undertake to publicly update forward-looking statements, whether as a result of new information, future events or otherwise. I will now pass it over to Jim for some introductory comments.
Jim Koch: Thanks, Mike. I'll begin my remarks this afternoon with a few introductory comments, and then hand over to Michael, who will provide his view of the business and the actions we're taking to position the Company for improvement in 2025. Michael will then turn the call over to Diego, who will focus on the financial details of our third quarter results. As well as our updated outlook for 2024. Immediately following Diego's comments, we'll open up the line for questions. I'd like to begin my remarks with an overview of the market environment. There continues to be noise in month-to-month volume trends in the alcoholic beverage industry. We expect near-term industry volume tends to continue to move around month-to-month given the macroeconomic consumer environment. Importantly, we're seeing the pricing environment remains stable and are achieving price increases of approximately 2% and which was at the high end of our prior guidance range. From a Boston Beer perspective, we mentioned on our last call that we under-shipped demand in the second quarter as trends improved late in the quarter, and we were not able fulfill all orders. By the end of the third quarter, our wholesaler inventories normalized at approximately 5.5 weeks and shipments and depletion trends year-to-date are consistent at down 3%. We've narrowed our volume guidance for the full year to reflect three quarters of results and a range of outcomes for the fourth quarter given the near-term consumer environment. From a long-term perspective, we continue to believe that there is a significant opportunity in the fourth category as lines continue to blur beyond the traditional three categories of beer, wine and spirits and consumers seek newness and variety. These fourth category beverages are typically sold in a can, need to be available in the cold box and are closer to beer in terms of pricing and margin structure and production requirements. We believe Boston Beer Company is well positioned to take advantage of this growth given our proven track record of creating new products and getting them into the hands of drinkers through both our best-in-class sales force and wholesaler relationships. We have strong core brands and a strong innovation pipeline for 2025, including Sun Cruiser and Samuel Adams American Light. Our margin initiatives continue to show strong progress, with gross margin up 190 basis points year-to-date. The systems and infrastructure we've built to support a diversified portfolio are showing results and there is significant long-term margin opportunity ahead as we continue to execute on our productivity plans, launching margin-accretive innovation and return to growth. In summary, our priorities are to support our category-leading brands to improve market share, nurture the innovation pipeline in a disciplined manner and improve our execution to unlock revenue opportunities and lower costs. We're focused on responding to and taking advantage of the trends we can control and implementing operating plans to position the Company well in 2025. The highly cash-generative nature of our business and our strong balance sheet allows us to invest to return to long-term growth while continuing to return cash to shareholders. We've generated over $200 million in operating cash flow this year and have a cash balance of $256 million at the end of the third quarter with no debt. Based on our view of long-term growth prospects for the Company and our philosophy of returning excess cash to shareholders, we've repurchased $191 million in shares year-to-date and recently expanded our share repurchase authorization by $400 million. To close, I'd like to thank our Boston Beer team, our distributors and our retailers for their continued support. And now, I'll pass the call to Michael.
Michael Spillane: Thanks, Jim, and good afternoon, everybody. As Jim just mentioned, we're managing through some headwinds with respect to consumer demand in our categories. In the third quarter, we were focused on rebuilding our inventories, in-market execution for the remainder of the summer season and continuing to refine our internal processes. The work we are doing now to improve end-to-end execution will make us better operators and ultimately lead to more sustainable long-term growth. Our strategic priorities that I discussed on our last call remain unchanged. We'll be focused on nurturing our core brands, developing margin-accretive innovation, leveraging the capital investments we have made in our brewers and IT systems and driving efficiency in operating expenses. There is significant opportunity ahead for our company despite the current headwinds. As I've reviewed the business over the last two quarters and worked through our operating plans for next year, with the team, I see multiple opportunities. First, we will be focused on opportunities to gain market share across the core portfolio. Taking back share will happen over time, but the opportunities are there. Second, we'll continue to adjust the portfolio in certain cases like Truly, we have had too many line extensions. Going forward, we will be more strategic as we add more styles. And third, we will use our powerful innovation engine in a disciplined fewer things better way as I discussed in our last call. And finally, we'll continue to modernize our supply chain and execute on the multiyear productivity initiatives across our three buckets: procurement savings, waste and network optimization and brewery performance. All these efforts together are designed to position the Company for improvement in operational and financial performance in 2025 and to drive quality long-term revenue growth and higher profitability. I'll now provide some color on the brand portfolio. And beyond beer, we play in hard tea, where we have the clear number one hard tea brand into Twisted Tea. The number two player in Hard Seltzer and Truly. High-quality premium can cocktail products in the early stages of brand building with Sun Cruiser and Dogfish Head can cocktails and our partner, Hard Mountain Dew. In beer, Samuel Adams has a strong craft legacy, and we continue to focus on our seasonals, adding more on-premise taps and our new light beer innovation, Samuel Adams American Light. We continue to see hard tea as attractive category with category volume up 18% and dollars up 20% for the year-to-date through the third quarter in measured channels. Twisted Tea is a brand that was built over many years in a high-quality way and has strong brand equities and an 85% market share. While many competitors have entered the category, the most successful competitive brand only has low single-digit market share. Twisted Tea's growth has decelerated somewhat naturally as it must grow off a larger base and contends with the macro consumer environment. But the category remains attractive, and we see multiple areas of growth for the brand. We've increased our investments behind Twisted Tea with our Twisted Tea college football program that continues to generate excitement for the brand through the fourth quarter. One of the largest opportunity is in points of distribution, particularly for Twisted Tea light, which is like highly incremental, and we are launching more distinct packaging that makes it easier to find on shelf. Additionally, there is still under penetration in certain consumer demographics. Higher ABV hard tea innovation is always an area of opportunity that is in its early stages with Twisted Tea Extreme performing well in the market with high repeat rates and lots of room for distribution wins. Twisted Tea Extreme fulfills high ABV occasions that drink as previously had to exit the brand to purchase. Our vodka-based tea innovation Sun Cruiser, which was launched late in the summer season is performing well in bringing new consumers to our hard tea portfolio. Sun Cruiser launched first in the New England and Atlantic regions and continues to expand to additional regions. Sales per point and the early off-premise regions continue to trend positively and Sun Cruiser is also performing well in the on-premise channel. We're encouraged by the feedback from wholesalers, retailers and drinkers and would point out that Sun Cruiser's overall performance trends are not fully reflected in third-party data at this point due to a significant presence in non-measured channels. We expect Sun Cruiser to be an important addition to the portfolio long term, but note from a timing perspective, we are now entering the lower seasonality months. The large opportunity for distribution wins is in the shelf resets that will occur in the spring of 2025. Turning to Hard Seltzer. We are continuing to see declines in the hard seltzer category with Hard Seltzer category declining 11% in category volume in measured channels in the third quarter and truly underperforming the category. As I mentioned on the last call, there's bifurcation with the light flavors performing ahead of bolder flavors, and we'll continue to focus the portfolio to those lighter flavors. As an example, the wild-berry 24-ounce can has grown year-to-date in measured channels with particularly strong growth in convenience stores. We think there is an opportunity to regain share with our lighter flavors and continuing our rotator pack strategy. There is also opportunity in the higher ABV segment, which is resonating with consumers and driving in single-serve. Truly Unruly, our 8% ABV offering is showing promise and is expected to be a contributor in improving the trajectory of Truly. Overall, we are not satisfied with the performance of Truly are taking steps to reposition the product portfolio and adjust our marketing strategy to improve the trajectory of the brand in 2025 and beyond. With respect to Hard Mountain Dew, we saw depletion trends turned positive in the third quarter, although off a small volume base. We're currently selling through our wholesaler network in states where we've transitioned from Blue Cloud and are continuing to work through regulatory approval and distribution agreements in additional states. We continue to believe there is opportunity for Hard Mountain Dew across expanded pack sizes and channels, including convenience stores, but those efforts will take time and have a more positive impact on our 2025 results. For our Sam Adams brand, we'll support our seasonal offerings in our award-winning nonalcoholic, just the haze while focusing on expanding the successful launch of our distinctly American Graft larger American Light. American Light is made with high-quality American ingredients and recently earned a title of Best Lighter in America in the World Beer Awards. The product is targeted to craft drinkers who want to drink light beer with quality ingredients and is enjoying a promising consumer acceptance in its early markets of New England, Florida and Texas. We pursued a measured launch strategy in test markets starting in independence and moving into large format and on-premise. Based on the encouraging early reads, American Light will be expanding nationally in early in 2025. In summary, we're working hard on supporting our core brands as well as supporting our innovation engine to drive volume and revenue improvements in a disciplined manner. In addition to our plans to improve volumes and market share, and we're also continuing our efforts to modernize our supply chain and expand our margins. We're seeing good progress on our productivity initiatives across the three buckets of priorities that I have mentioned earlier. Procurement savings, waste and network optimization as well as brew performance. These efforts allow us to realize gross margin expansion in the third quarter despite a soft volume environment. We expect the investments we've made in systems such as planning tools and automated customer ordering systems to enable continued progress on inventory management in 2025. Line efficiencies remain a work in progress and will take some time to achieve consistent and reliable performance, particularly in peak periods. The timing and ultimate amount of volume that we in-source will be dependent on our progress in our own breweries as well as the product and geographic mix of our sales. In addition to gross margin, we're focused on investing in our brands. We are focused on improved execution and coordination of our brand investments and sales programs to maximize brand impact through to consumers. With respect to non-advertising selling and brand costs, we're continuing our efforts to better align internal costs with revenue. We're committed to supporting all of our brands with appropriate levels of advertising investment for both brand awareness and in-store marketing. Our investments are across the portfolio with a particular emphasis on Twisted Tea, Sun cruiser and Hard Mountain Dew. To summarize, I believe there are multiple areas of opportunity ahead for Boston Beer. I'm pleased with the progress we are making to be more focused and that we have had delivered gross margin expansion despite weaker volumes. We still have work to do in becoming sharper in our execution. We'll be spending the next few months finalizing our plans to position the Company for improved performance in 2025 and return to long-term high-quality growth. I look forward to discussing our 2025 operating plans and financial guidance with you in February on our fourth quarter earnings call. I'll now pass the call to Diego for a detailed review of the third quarter and our updated 2024 guidance.
Diego Reynoso: Thank you, Michael. Good afternoon, everyone. Depletions in the third quarter decreased 3% and shipments decreased 1.9% from the prior year. Primarily due to declines in Truly Hard Seltzer that were partially offset by growth in our Twisted Tea, Sun Cruiser and Hard Mountain Dew brands. We began the quarter with an average of 3.5 weeks of distributor inventories on hand which, as we discussed in our second quarter call, was lower than our target levels. As of September 28, 2024, distributor inventory was approximately 5.5 weeks on hand, which was slightly higher than our target levels of between four and five weeks. We expect to return to our target levels during the fourth quarter, which will be a slight headwind to our fourth quarter shipment volume. Revenue for the quarter increased 0.6% due to price increases and lower returns, partially offset by lower volumes. Our third quarter gross margin of 46.3% and increased 60 basis points from the 45.7% margin realized in the prior year. Gross margin primarily benefited from price increases, procurement savings and lower returns, which more than offset higher inventory obsolescence and increased inflationary costs. Excluding shortfall fees and third-party production prepayments that we have discussed in prior calls, gross margin was 47.4%. Advertising, promotional and selling expenses for the third quarter of 2024 decreased $4.6 million or 3% from the third quarter of 2023, primarily due to lower freight costs as a result of both improved efficiencies and lower volumes. Brand spend in the third quarter was consistent with prior years. General and administrative expenses increased $1.6 million or 3.7% year-over-year, primarily due to increased professional fees. The third quarter -- in the third quarter, we recorded a $42.6 million noncash impairment charge or $2.49 per diluted share. primarily for the Dogfish Head brand that resulted from the Company's annual impairment analysis. The impairment determination was primarily based on the latest forecast of brand performance. which were below our earlier projections. Beginning in the fourth quarter of 2024, we will be amortizing the remaining intangible Dogfish Head brand asset of $14.4 million over a 10-year life, and we do not expect any future impairments related to the Dogfish Head brand. We reported non-GAAP EPS of $5.35 per diluted share, an increase of $0.68 or 15% compared to the third quarter of the last year. Both periods exclude noncash brand impairments. The year-over-year increase was driven by higher revenue and gross margins and lower freights. Now I'll discuss our 2024 guidance. Our fiscal week depletion trends for the first 42 weeks of 2024 have decreased 2% from 2023. As Jim mentioned in his remarks, we are narrowing our 2024 volume guidance to reflect the first nine months performance and a range of outcomes for the remaining fourth quarter. As you model out the remainder of the year, please keep in mind that the fourth quarter is typically our lowest absolute gross margin rate of the year. We now expect 2024 depletions and shipments to decrease low single digits versus our prior guidance of a decrease of low single digits to flat. We now estimate price increases of approximately 2%, which is at the high end of our prior guidance. Gross margin of between 44% and 45% versus prior guidance of 43% to 45%, reflecting the progress we have made on delivering productivity. Contractual short sell fees and production prepayment amortization that we've discussed on previous calls will have a negative impact on full year 2024 gross margins of between 160 and 180 basis points. As these contractual terms expire, we will reassess our capacity needs and commitments with our third-party production partners. Our investments in advertising, promotional and selling expenses will range from a decrease of $5 million to an increase of $15 million. This does not include any changes in freight costs for the shipment of products to our distributors. Our estimated tax rate will be 30%, which is higher than our prior estimate of 28.5%. And is due to the impact of the third quarter noncash brand impairment charge, which decreases estimated full year pretax income but did not significantly change our estimated full year nondeductible expenses. Our non-GAAP earnings per share guidance of $8 to $10 excludes the impact of the noncash brand impairment charge of $42.6 million or $2.49 per diluted share. This projection is highly sensitive to changes in volume projections and supply chain performance. In summary, the changes to our guidance reflect a somewhat softer volume environment, offset by strong gross margin performance. We've been able to maintain the midpoint of our prior EPS guidance while investing in our brands and absorbing a higher tax rate. Turning to capital allocation. We ended the quarter with a cash balance of $255.6 million and unused credit line of $150 million, which provides us with the flexibility to continue to invest in our base business, fund future growth initiatives and return cash to shareholders through our share buyback program. For the full year 2024, primarily due to the timing of spend on current projects, we expect capital expenditures of between $80 million and $95 million, a decrease from our prior estimate of between $90 million and $110 million. These investments will be directed primarily to our own breweries to build capabilities and improve efficiencies. During the 39-week period ended September 28, 2024, and the period of September 30, 2024, through October 18, 2024, and we repurchased shares in the amount of $176 million and $15 million. We recently increased our share repurchase authorization to $1.6 billion which is an increase of $400 million. As of October 18, 2024, we had approximately $476 million remaining on the authorization. This concludes our prepared remarks, and now we'll open the lines for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. And the first question comes from the line of Michael Lavery with Piper Sandler. Please proceed with your question.
Michael Lavery: Thank you. Good evening. Just wanted to come back to how to think about 4Q. I know you've got the full year volume guidance that gives us a good -- some guardrails on how to think about it. But you have been talking about some new distribution pipeline fill for Hard Mountain Dew driving some potential upside against sell-through it sounds like the inventory build in 3Q more than makes up for that and maybe some of the other new innovation getting ready to go out in early 2025. Is that the right way to think about it? And can you just talk about some of the puts and takes besides just the current inventory level?
Jim Koch: Yes. I think as we've laid out before, Q4 is our smallest quarter and therefore, is very sensitive to volume moves. So we're currently on our 2025 plan right now, we'll come back and talk about it next quarter. But as we look at that, we're looking at what are the dates that we're launching in different markets, Hard Mountain Dew, what the growth of Sun Cruiser is at the beginning of the year. So, those would be the two branded driven pieces that might change the volume between Q4 and Q1 a little bit. And then the third one is the one you mentioned, our inventories are a little bit long, not a lot, but that can drive a handful of points up and down. So those three things are the reason why you see a little bit of a bigger -- kind of a bigger range in Q4 just because of the relative size of Q4 versus those three things.
Michael Lavery: Okay. That's helpful. That makes sense. And can I just follow up on Twisted Extreme and Truly Unruly. You've got a few things that are going from a 5% to an 8% ABV with some of these extensions I think you mentioned some competitive offerings that drove some of the thinking there. But is that also just a consumer that's seeking value and wants the bang for the buck or how do you think about just where the consumer's head is and how they approach that and what the initial read is on traction?
Jim Koch: We're very pleased with the results of the product that we have in the market and the consumer is reacting in a very positive way. So, it's probably a little bit of everything, but we see that definitely as an important part of our growth as we go forward.
Operator: And the next question comes from the line of Rob Ottenstein with Evercore ISI. Please proceed with your question.
Rob Ottenstein: Two questions. One, just wonder if you could give us any kind of early sense of how October looks things getting a little bit better. I understand some pricing came into the market in certain areas. Any reactions to that? And then second, if you kind of go into Twisted Tea in a little bit more depth, at least in the scanner data, it's slowed a bit, velocities seem to be down, and wondered what you're kind of diagnostic is for that and maybe we're not reading the data right, but that's what we're seeing. And how do you think about the momentum of the brand going into 2025?
Jim Koch: Perfect. So, on the first part, I think as we laid out the last 42-week number has a 2%. So, it's a little bit better than the year-to-date at the end of the quarter. That being said, just given, again, the relative seasonality in the low side of Q4, I think it's a little bit too soon to tell, but it's a little bit better if you look at the two numbers we've laid out.
Rob Ottenstein: Yes. And on the second part of the question regarding Twisted Tea. One, we're on we're working off a much larger base this year. But secondly, it was a year that a fair amount of competition came into the space, seeing the great success that we've had, and we've built this brand over a long period of time. It's built in a very sustainable way. We feel like what's the head for us is to claw back that long tail that had kind of come in. there was a lot of trial in moving on. So, we feel confident that going into next year, we'll be on track with Twist Tea growth.
Operator: [Operator Instructions]. The next question comes from the line of Eric Serotta with Morgan Stanley. Please proceed with your question.
Eric Serotta: Hoping, you could talk a bit about Sun Cruiser, maybe talk a bit about what your expectations are in terms of shelf space for next year? And where do you expect that space to come from in accounts that are able to sell small based and spirits based? And then at the consumer level, what are you seeing in terms of interaction between Sun Cruiser and Twisted? Obviously, significantly incremental, but for the part that does overlap, what do you -- what kind of trade-offs are you seeing at the consumer level? And then a quick follow-up.
Jim Koch: So, we see it as an incremental proposition to Twisted. We haven't seen any really cannibalization of that franchise with it. We're looking at both from a product standpoint, it's a higher-margin product for us, which is, as we've talked about in past calls, we're looking to introduce innovation that's margin accretive, which it is. It's part of a highly focused canned cocktail strategy. And so, we're looking at this as taking from other vodka-based canned beverages. So, as you look around the store, you can see who the dominant players there are, and we feel confident that we can grow our business at the expense of others versus ourselves.
Eric Serotta: Great. And then just a quick follow-up for Diego or housekeeping item. I think you called out higher obsolescence cost, what was that related to in terms of product and brand? And what's your picture on that going forward?
Jim Koch: Yes. So, if you look at quarter-by-quarter, we're still kind of in line to what we think. So, it's not a key driver. I think as we are moving some of the innovation to have a lower piece. It's not a branded piece. So, from a branded point of view, we're kind of where we want. Now the only specific thing in the quarter that we called out was hops obsolescence then that's very specific of us just looking at the types of beers going forward and rebalancing our hops portfolio. So that's -- it's not brand related, it's hops related.
Operator: And the next question comes from the line of Bonnie Herzog with Goldman Sachs. Please proceed with your question.
Bonnie Herzog: I had a question on Truly. You mentioned you're not satisfied overall with Truly's performance. So, I guess I'm hoping for some more color on some of your initiatives. First, you mentioned adjusting your marketing strategy. So, I'd love to hear maybe some of the changes you might be making. And then second, you mentioned success with lighter flavors. So, could you give us a sense of what percentage of Chili's mix is lighter right now? And then, I guess, finally, you also talked about possible pruning. So again, hoping maybe for a little bit more color on that? And what percentage of Truly's volume you might consider discontinuing?
Jim Koch: Yes. Thanks, Bonnie. I think one, we've basically taken '24 as a year to reassort the flavor profile of what's in front of the consumer, and we're driving more lighter flavor. We're also seeing, as we've mentioned, the higher Truly Unruly has some nice momentum. We're looking to drive those as well as really focusing on the convenience store channel. In terms of -- I wouldn't necessarily break down the numbers in terms of where we are. I would say we're heading in the right direction. And in terms of the marketing spend, we're elevating our spend, and we also have -- we won't announce yet. It will probably be for fourth quarter, but some kind of dynamic part that we think can help charge the business.
Bonnie Herzog: Okay. And then maybe a quick follow-up. If you're -- I guess, [indiscernible], if you're unable to stabilize or revive it, do you think Twisted and then possibly Sun Cruiser next year will be enough to offset and your volumes can return to growth? Is that I'm just trying to think through this if some of these efforts aren't successful on Truly?
Jim Koch: Well, I mean our expectation is that we're going to be successful with Truly. And our expectation is for all of our businesses to grow. One of the things we've been talking about is all of our businesses reaching their potential and really driving our full portfolio. And we think there's opportunity across our entire business.
Operator: And the next question comes from the line of Filippo Falorni with Citi. Please proceed with your question.
Filippo Falorni: I wanted to ask a broader question about the beer industry. We've clearly seen some softness this year into the summer, particularly a bit of an improvement if you include the fourth category, as you guys talked about. How are you seeing the evolution for the balance of the year and into next year? You think this was like more of a temporary headwind in '24 that might lap it to '25? Or do you see any more structural headwinds that might continue into next year?
Jim Koch: Yes, there are structural headwinds to the beer industry. None of them is very big. It's hard to isolate and measure any one of them, but you've got things like cannabis, Ozempic, moderation, health concerns and pricing over the last four years that has been in excess of inflation. None of them is big enough, but you put them all together and you've got a beer industry that's down 2%, maybe 2.5% whatever the number of the week happens to be, but it's between two and three, and that's about where our depletions have been for the year. I don't see any of those necessarily going away, except the pricing. At this point, beer pricing looks like it's actually at least for us, and it's been below inflation even at 2%. So, we've been able to recover our cost increases and also have our price come down in real terms. I believe that the beer industry will get disproportionate volume from the fourth category. I think the fourth category is kind of in the wheelhouse of beer for a bunch of reasons that I talked about. So, I see that coming back. I can -- the rhythms of our volume over 2024. In the beginning of the year, the first three or four months was pretty good. And then the industry went into a slump kind of after Easter. And you look at the same syndicated data I do, it's come back over the last six weeks. These aren't huge movements, a point or two. But we are, at this point on an upswing over the last six weeks. And as Diego mentioned, our shipments year-to-date going backwards from today are a little bit higher than they were at the end of the third quarter. So almost mathematical necessity, our October numbers are coming in better. I don't have a crystal ball. I don't know whether that will continue. There are headwinds. They're not major for the beer industry, and I'm hoping that as an industry, we can pick up share of alcohol as the fourth category becomes more important. And if we can outcompete wine and spirits for that volume.
Operator: [Operator Instructions]. The next question comes from the line of Bill Kirk with Roth Capital. Please proceed with your question.
Bill Kirk: So, I'm trying to understand the earnings outlook a bit better. I have year-to-date adjusted EPS at $10.76 and so at the midpoint of the 8 to 10 guided range, that would imply almost negative $2 in EPS for 4Q. Looking back at the model, that's one of the lowest 4Qs I can see. Is that math right? Am I missing something in the comparables or something? Or if it is right, can you help us better understand the details that would drive such a loss in 4Q?
Jim Koch: So first of all, the reason we have a range is, again, as I mentioned before, Q4 is relatively small and therefore, very susceptible to movements -- short-term movements back and forth, right? That's why we tend not -- we don't love seeing our business in a Q-by-Q point of view because any movements in between inventory, orders, loading and products, yes or no, makes a big difference. And we're still laying out when we're going to ship out some of the innovation next year, for example, what pieces we're going to move. That's one. The second one is, Q4 is usually when we have our shortfall fees. And therefore, that is a direct shift to the margin profile of Q4 versus the rest of the quarters. And that's something that consistently will happen because that's where we tend to fill in our factories instead of using some of our external capacity. So, there's no underlying reason that changes either the trends of the brands or any specific onetime things coming in. It's more of the sensitivity to the volume, the full fees either doing the margin and just how sensitive it is to those pieces.
Bill Kirk: And on that external capacity comment, year-to-date, it shows that 68% of your needs have been in heat production. I think the full year goal was 76% in-house production. So, is there a big step-up in production in 4Q? Or is 76% or I guess, ask differently, 76% still capable?
Jim Koch: So, two pieces. So first of all is, again -- and I think I said it last in the last call, we adjust what we want to do internally and externally, partially where the orders come. So, we might have a goal, but given our forecast, but if we have more volume, for example, in California that where we don't have our own facilities, we'll move product into the out facility. So, the goal -- missing the goal is not necessarily good or bad. It's just that we made an adjustment. The second part of the answer is yes, we have a significant piece of the volume in Q4 in our facilities. Because that's when we have kind of a lower volume, and therefore, we can do a bigger percentage of that volume. So yes, the answer, but the fact that we're off the gold doesn't necessarily mean it's a good thing. It just means that our regional mix has changed. The other piece is, as we've grown international, like that is a piece that's also a little bit separate. Because it grows and we're doing it outside our facility. So that growth also kind of distorts a little bit the internal versus internal. So overall, we're very happy with our plan.
Operator: There are no further questions at this time. And now, I would like to turn the floor back over to Jim Koch for any closing comments.
Jim Koch: Thank you all for joining us this afternoon, and we look forward to telling you how the year closed out in February.
Operator: And thank you, ladies and gentlemen. That does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time.